John Andrew Hamilton: Good morning, and welcome, everybody. Thank you for joining us. This is our second quarter first half year trading and results update. We have this morning released a press release and an accompanying presentation, which we'll go through now, which shows the progress we've made during the course of the year. Joining me today on the call are our CFO, Qazi Qadeer; and our Head of Engineering, Kim Hansen. As a reminder, today's conference call contains certain statements. I just want to check if the presentation is live. I don't see it myself. There we go. Thank you. As a reminder, today's conference call contains certain statements that are or may be deemed to be forward-looking statements, which include all statements other than statements of historical fact. Forward-looking statements involve making certain assumptions based on the company's experience and perception of historical trends, current conditions, expected future developments and other factors that we believe are appropriate under the circumstances. Although we believe the expectations reflected in these forward-looking statements are reasonable, actual events or results may differ materially from those projected or implied in such forward-looking statements due to known or unknown risks, uncertainties and other factors. And for your reference, our press release is available on our website, www.panoroenergy.com. Next slide, please. I'll go through the slides. And afterwards, we can, as usual, answer some questions. You can either raise your hand and we will unmute you or else you can ask a question live or you can type a question in and we will endeavor to answer those questions to the extent that they have not already been answered or be relevant for the larger audience today. Any questions that we don't get to, we will endeavor to get back to by e-mail in due course. Next slide, please. So the results highlights today. We're showing a first half of $86 million reported revenue, EBITDA of just under $51 million and CapEx of $26 million. A few comments around those numbers. Our lifting schedule is weighted towards the second half. So we will expect to see both on the revenue and EBITDA side, a skewing towards the second half. Capital expenditure is the inverse. Capital expenditure is heavier in the first half than it will be in the second half. So we expect that number to be within guidance as well. On the balance sheet, we ended the quarter with the half year at June 30 of $55 million of cash, $146 million of gross debt and a net debt to trailing 12 months EBITDA of less than 1x. So very, very strong and good balance sheet. On the right, today, we've announced a cash distribution of NOK 80 million, which will be paid as a return of paid-in capital. Again, there is a slight distinction between that and the dividend for those who follow these things. And that would bring us then to NOK 580 million of cash distributions and including the share buybacks of NOK 120 million, that takes us to about $700 million of shareholder distributions and buybacks. It's approximately just under 30% of our market capitalization. So I think we've shown a good -- demonstrated a very good track record of returning cash to shareholders through this past couple of years. Next slide, please. So on the production side, we break it down by quarter, so everybody can see what's going on. We've got first half production of 11,500 barrels a day around guidance of 11,000 to 12,000 barrels a day. Our OpEx per barrel around $21 a barrel, so as guided and another $3, what we call nonrecurring project costs. These are operating costs dealing with the long-term maintenance of facilities we have. So around $24 of operating cost and the CapEx still at $40 million, which is as previously guided. You can see that Dussafu has continued to be strong. Tunisia in the orange has been quite steady actually. And the drop in production in the second half -- second quarter in Equatorial Guinea will touch on, but you can see that, that is lower than it was in the first quarter or indeed in the fourth quarter of last year. Next slide, please. So shareholder returns. These are in line with our 2025 policy. Today, we've declared another NOK 80 million. We -- that brings NOK 240 million, including today's announcement. Year-to-date, we've also done $69 million of share buybacks through the 20th of August, yesterday. We've been out of the market buying shares for the past couple of weeks because of the close period. And then if you look to the right, we have the limit of NOK 500 million approximately. It's $45 million is the key number. It's a dollar number, although we distribute in kroner. And if all things go to plan, we expect, of course, another NOK 80 million share -- cash distribution in November-December when we come up with our third quarter results, leaving still some ample headroom there. So we are well on track here as guided. And today's announcement hopefully underlines that commitment to shareholder distributions. Next slide, please. Crude liftings, we just try and show what's happened last year and some of the seasonality of the crude liftings. We lifted year-to-date, 1.1 million, 1.2 million barrels with the weighting sort of 1 to 2 relationship between the first half and the second half. So you will see additional liftings in the second half of this year. We've already preannounced a lifting in Equatorial Guinea in July, which achieved around $70 a barrel. That's lifting of 650,000 barrels. We announced that in the trading update recently. Next slide, please. Here, we have a lot of information. I won't go through it all, but it's a useful slide for the records, showing the first half cash flow reconciliation with our cash at the end of last year and the cash now. On the lower left, we show our senior secured bond amortization schedule. We have no repayments to make this year other than interest payments with the first amortization due in the end of 2026. And on the right, our capital expenditure guidance. As everybody knows, we had a very, very heavy year last year. This year is more around $40 million. We've just spent $26 million to date. That's principally been in and around the end of the Dussafu drilling program and the Bourdon discovery itself has taken up about half of that CapEx with the balance being in Equatorial Guinea, a little bit in Tunisia and our exploration portfolio as well. We've had some activity with the award of the new license, EG-23, which I'll touch on. So this is all going to plan. Next slide, please. So Dussafu, this is now really our flagship asset. We've had really good strong production. The reservoir performance has been excellent. We've had very, very good uptime on the FPSO. For those who follow it, in detail. BW Energy took over the O&M contract on the FPSO. They took that over from BW Offshore. And they're doing a fantastic job, and that's really reflected in that uptime that we've had on that asset. During the first half of the year as well, we made the Bourdon discovery, which initially looks like over 50 million in place and 25 million barrels recoverable. There are additional drilling targets that have been identified through the remapping of that drilling campaign. And there could be some further upside indeed around that Bourdon concept. The next big thing to happen at the Dussafu license is 4 new development wells in the Hibiscus and the Hibiscus South fields. These are 2 distinct fields, but we will be approving together with partners a plan to drill 4 more development wells into this area. Again, the reservoir supports easily 4 more wells in this area with first oil targeted for the second half of next year. So we just need to finalize the rig contract and figure out exactly when it's going to get there. But I think that that's going to be the next big activity on Dussafu, which will start next summer sometime. Again, first new oil target 2026. What that will do is that will bring the production back up, up around the FPSO capacity. We have 4 available slots on the MaBoMo platform, so everything is set up for that. Next slide, please. So we've talked about this before, but this is starting to get real and exciting. The award of these 2 new blocks, which has been pending for a while, has been fully ratified now by the government. You can see Dussafu there in the orange. Niosi and Guduma are the new blocks. We've joint ventured together with Vaalco, who operate the Etame field there to the northeast of Dussafu and with BW Energy, who are obviously the operator of the Dussafu area. And we've effectively got this large contiguous area here, which is full of existing oil production, existing oil discoveries and historical work with 3D seismic. It's a great partnership because between the 3 of us, we probably understand this area better than anybody else. The next big planning underway is to acquire seismic on this. It's possible we may also see an early well into one of the blocks in due course, that's yet to be decided. But this is a prolific area where the Gamba reservoir and the Dentale are to be found with existing discoveries on these blocks. So in terms of the long-term continuation of the success story that we've had at Dussafu and Vaalco had at Etame, this really, I think, provides a runway for many, many years to come of continued success here in this area. Next slide, please. In Equatorial Guinea, we have 2 fields here, the Ceiba field and the Okume Complex. The Okume Complex has been producing more or less in line with expectation. At Ceiba, we had, as announced back in the first quarter results and indeed in the most recent trading update since April, we've had some unplanned downtime issues, which have impacted production. By my estimates, we're probably about -- on a gross basis, about 5,000 barrels a day less than we should be producing. There are plans in place. It's not a reservoir issue. It's a subsea equipment issue. The operator is working extremely hard and diligently to turn this around. We expect to have that turnaround starting during the fourth quarter, so actually in the next couple of months. So it's a temporary issue, but it has given us unplanned downtime on this asset, which, again, we anticipate to fully recover that production during the fourth quarter and into early next year. The next plans on this asset are considering an infill drilling campaign, perhaps the jackup on the shallower end of the Okume side of things, which may include looking at something in EG-01, which is the Panoro operator. We're in that with Kosmos-Panoro operated exploration block, which sits south of Okume. So I would expect more news on that campaign to be forthcoming during 2026. Next slide, please. One of the interesting things that we have, the most interesting thing, I think, in our portfolio that we have right now is this new block EG-23. It's early stage. We're at the point now where we've just awarded a seismic reprocessing contract. So the geoscientists are busy working on it. But as you can see there in the blue, that's our block. And you don't, I think, have to be a geologist to see that we are in an extremely prolific fairway here. We've got the Niger Delta there. It's the southern part of the Niger Delta in Nigeria with multibillion barrel discovered reserves and resources, lots of production in there. We've got the Zafiro field, which has already produced over 1 billion barrels. We've got the Alba field just to the south of us, which is already produced in excess of 1 billion barrels. And then in Cameroon, which is just above us, there are multiple oil and gas fields historically. So we feel like we're in a very, very exciting area. We have 80% of this block. So we have lots of room to eventually bring in some partners. The commercialization of -- there are discoveries on this block. The commercialization of any production though is reasonably straightforward as there is a large LNG plant there in Punta Europa. I think you can see that maybe just on the island there. That is an LNG facility operated by ConocoPhillips. And so this is an area that is full of oil, gas and condensate. And we think we've got one of the most exciting blocks in the country. So this is going to be one to watch for us. Next slide, please. Tunisia, gross production was 3,100 barrels a day. We've had some good success on recent workovers. We've had some volatility, obviously, in production and operations in Tunisia over the past couple of years, as you follow us will know. But at the moment, touchwood things are pretty steady and going reasonably well. We have some activities planned for early next year as well, which could see production increase further and that predominantly is around the Rhemoura field, where we're awaiting the final ratification of the license renewal. So that's one to watch early next year. Next slide, please. So a slide just showing the portfolio that we've built here. We've shown versions of this slide before, but I think it's an important one to note with our reserve position -- strong 2P reserve position at 42. That doesn't include the Bourdon discovery, which initially looks like it's around [indiscernible] around 4 million barrels. Our contingent resource base currently around 26 million barrels. EG-23, which I've touched on in Equatorial Guinea, we don't have a Competent Person's Report on that yet, but there have been over 100 million barrels of contingent resource identified there through previous owners. We still have lots of infrastructure-led exploration at Dussafu itself, all the remaining prospects there. And then we have a portfolio of other assets in Niosi-Guduma EG-01 and some other projects as well. So we think that we've set up a company that has a very, very strong organic upside to exploit over the coming years on top of our existing production and 2P reserves. Next slide, please. So just some key messages for the half year and corporately. On the production side, our first half production is in line, up 26% year-on-year. We announced earlier this year a greater than 300% reserve replacement ratio. That's a very high in our industry. If you can get 100%, you're doing really well, but we had a particularly good year. That was before the Bordon calculation as well. So hopefully, we will be able to report some good reserve replacement next year as well. And that gives us based on current production rates around a 10-year 2P reserve life, 16 years on a 2P plus 2C basis. So again, getting back to the point that we have a very long-term business on our hands. On the exploration and appraisal side, we've made the Bourdon discovery. We have the new blocks. We basically secured this entire southern part of Gabon, chasing this Gamba, this prolific Gamba reservoir. We know that there's going to be additional discoveries there in due course. And I've touched on EG-23 already, which is, I think, one of the most exciting things we have in the portfolio right now. On the financial side, we think that we're in line with guidance there so far. Our bond issue, which was a big success has really strengthened our liquidity position, gives us strength vis-a-vis the market as well. And our CapEx guidance is materially lower than last year and in line with guidance. And finally, on the shareholder returns, we think the shareholder returns we've shown that through our exploration drilling and our reserve and production growth. These are very, very accretive things. We've used shareholder funds to grow our net asset value. But we've also had a quarterly cash distribution and share buybacks. This is also -- all of these things together have given us really an enhanced ability, we believe, to capitalize on new venture, both opportunistic, but we're also very focused on value and making sure that anything new that we would do would be accretive to the current business that we have. So with that, I'm going to finish and open up the line for questions. [Operator Instructions]. And so my colleague, Andy is going to take over from here and see if we have any questions.
Andy Scott: Thank you, John. We'll start the Q&A with Stephane Foucaud.
Stephane Guy Patrick Foucaud: I've got 3. The first one is around Rhemoura and Guebiba. So drilling program, you're starting to define the drilling program. Could you maybe give us an idea of timing, materiality and so forth? Is it '26, I guess, even '27. Then a similar question for EG-23. So as you said, this is an extremely material block for Panoro. You talk about a Competent Person's Report and maybe potential development and exploration drilling. Likewise, any sense of timing of this Competent Person's Report, [indiscernible]? And lastly, on the financial, on the CapEx in '26. So I expect it will be more than '25, but [Technical Difficulty] it was, I think, much higher?
John Andrew Hamilton: Sure. So on the drilling plans for Rhemoura and Guebiba, these are -- I wouldn't say necessarily new wells. These are principally workovers at this point. So it's not new drilling. It's kind of low-cost interventions. On Rhemoura, we have one well, which is currently shut in pending workover, but it's also pending the ratification of the extension, which we're working on with the Tunisian authorities. And as soon as we receive that, I think you'll see us go in as quickly as possible. I anticipate what can probably in the first quarter to reenter that well. The materiality of that well is probably 300 to 500 barrels a day range on a gross basis. We have half of that. And in Guebiba, there are a number of -- there's always things going on there. At the current moment, we don't have plans for actual new material -- new drills. That will come principally in Rhemoura in due course. In Rhemoura, we have a beautiful looking new target to drill, but that's going to require a fresh well rather than a workover. But that's an activity that's a little bit off in the future. So I think you're going to expect some smaller incremental workovers, which could move the needle in aggregate. But obviously, Tunisia being our smallest production asset at the moment. In the wider group, they are not hugely material, but very important nonetheless to get right. In EG-23, I think the plan now is we've just awarded the reprocessing contract. So there's been a lot of historical 2D and 3D. Marathon used to operate this block and previous operators, there's lots and lots of good data on this. And indeed, there are a number of discoveries already on the block. And it's our task now to kind of throw the best of the new technology at that. Nobody has really done anything on that asset for quite a long time. So we've just awarded a contract to an external party to reprocess the seismic there. And I think once we've reprocessed that seismic and the geoscientists have had a chance to kind of interpret that, look at the drilling prospects, I think you would probably see us at that point looking to maybe validate some of that through an external CPR as we call it. And we might also seek to identify relevant partners to bring in at that point. It's not Panoro's intention to run with super high equity levels in exploration blocks, particularly when it comes to the heavier spend. So this is a light spend at the moment. But in due course, this is the kind of thing that we believe larger oil companies will be quite interested in. So I think that's a 2026 -- I think the onion will start getting peeled back in 2026 on that one. And your last question on CapEx '26, it's a little too early to give you anything definitive, Stephane, as we haven't had our annual joint venture meetings budgets. As you know, usually get set September, October, November. So those are all coming up. We might be able to give you a better and clearer answer by the third quarter results in November. However, when asked that question by analysts, what we typically have said is, look, why don't you earmark something around the 2025 levels if you need to put something in your model for now. I don't think it's going to be wildly off. So I hope that answers your question, at least as an answer.
Andy Scott: The next question is from Ntebogang Segone.
Ntebogang Segone: Just I think 2 questions for me. I mean if I look at your EBITDA from a segmental level, the biggest downside comes from the Equatorial Guinea side, where EBITDA has gone down from $30 million to $6 million. Outside of just sales being the impact, how much from a cost perspective did the EBITDA get impacted by? And then I think the other question is, could you please just break down the OpEx per barrel cost, what are your consolidated first and then also cost on each asset for me?
John Andrew Hamilton: Suggest, if you don't mind for the purposes of efficiency is let's get after your EBITDA question. In terms of getting into the segmentals, maybe we can take that one together with Andy offline and try and get you so granular. I don't want to get too caught up in going back through the back pages of the report, if you don't mind. Qazi, on the EBITDA and the segmental?
Qazi Muhammad Abdul Qadeer: So the EBITDA on the segmental, I think what would happen is that it's largely driven by liftings. And if you think about it, there is no liftings in the current quarter for Equatorial Guinea. So as we announced, there's going to be a lifting or there was a lifting in July in the third quarter, which is going to be included in our results for the third quarter. And that is when all the cost that is accumulated in the inventory is going to show up as a cost of sales. So I think it would be a better description of the EBITDA contribution of EG at that point of time.
John Andrew Hamilton: Great. And Andy, do you mind following up on the remaining questions, and I'm happy to have a conversation separately on that one.
Andy Scott: Absolutely. Thank you. And the next questions have been submitted online, John. One is, we are substantially unhedged. There are views in the market with risk skewed to the downside in regards to oil price looking forward. Can you please comment on the basis for our hedging strategy and what you see and how you may see that evolving looking forward? And secondly is, obviously, the share is trading as is much of the sector at a significant discount to NAV. What do you see the company can be doing to address that discount to NAV and narrow it?
John Andrew Hamilton: So hedging is both a very technical subject and a philosophical one. Many investors don't like oil companies to be hedged because one of the reasons they invest in them is to enjoy the upside that they -- in that particular investment thesis, believe that oil is too low and will go up and the shares should rerate off the back of that. Obviously, in times of lower oil prices, I think everybody loves hedges and hopes that some companies have put them in place. So we at Panora, what we try and do is we try and find a balance there because we do recognize that the vast majority of shareholders of people investing in shares in the E&P market investing for the oil price upside as well as the -- each company's individual prospects. But we do try to make sure that when we have our liftings, and that's really the key here is that we don't get a nasty surprise. So what we tend to do is we operationally hedge. So we look at our lifting schedules, and we try and identify months in which we believe we have significant liftings. Now those liftings can shift by a month or 2, as everybody knows. So it is a little tricky sometimes to nail down the month. And what we tend to do is we put in costless collars. So as an example, year-to-date, you'll see some little noise through the P&L on hedging gains or losses. We've had good hedging outcome, I think, so far this year. We, like everybody, got quite scared when oil dropped down to $60, I think through Liberation Day and all these things. I think what we've seen there is the market kind of tested $60 and it bounced back, obviously. We're sitting at around, what, $66 at the moment, something like that. These levels are okay for Panora. We have a very profitable business at current levels. But obviously, we'd like higher oil prices. So year-to-date, we've done a bunch of hedging that protected $60 and protected $70 on a portfolio basis. Those hedges have worked well for us. Our realizations to date are around $66, $67 a barrel. And when you see those numbers, you have to remember that there's also discounts usually to the crude. So we don't trade necessarily -- our crude doesn't always trade at Brent. Sometimes it trades above it, sometimes below it. And the other thing is that the Brent prices you see on the screen are different from the dated Brent prices that we realize. And usually, dated Brent is a little bit higher. So in our hedging, what we really try and address is that when we lift in, say, November, we already know we're going to lift in November, for instance, this year. We think that's the date for a very big lifting for us in Gabon. We'll start looking at that and building up protections on that cargo to make sure that if for whatever reason, there's a few days in November where the oil price drops that we don't get left hanging. So there's that. Discount to NAV, yes, the sector trades at a discount to NAV. We trade at discount to NAV. Sometimes we trade at a bigger discount to NAV than our peers. Sometimes we trade at a better discount to NAV. And that discount to NAV is kind of always, always there, unfortunately. And over the past years, we've had a lot of ESG that's been keeping a lot of the big institutional investors out of oil and gas. We're seeing that change. So we're seeing institutional investors recognizing again, the energy transition is a process, not an event. It will take a long time. So we're all seeing a better influx of institutional capital into E&P shares. Panoro itself has obviously managed to attract a number of very large institutional shareholders in the past couple of years. But it is a valid question. How do we continue to close that gap? At Panoro, we -- obviously, we were trying to do as we said we're going to do in terms of the distributions and keeping those going. We believe we have an attractive profile in that respect. We also believe that size is important that when you're a smaller to midsized company, you're getting less institutional attention than you are if you're a bigger company. So that's why we had a track record of doing accretive deals. We continue to look at finding accretive deals. And the prize in finding those accretive deals are obviously, a, doing a smart deal, but b, getting bigger. So I think one of the principal ways that we can close that discount to NAV is to continue to try and find the right deals for the company going forward. And I think starting to bring forward some of the excitement around our exploration portfolio, which doesn't get any value in the market and -- that's just the way the market is at the moment. Sometimes the market values exploration, sometimes it doesn't. But we are putting the tools in place as we bring these exploration blocks forward and mature them for drilling and for Competent Person's Reports and contingent resources and eventually reserves that will continue to fill that hopper. And then we just have to continue to get out there and find additional investors. That's always something we do and -- try to do, and we'll keep doing it. So I think that probably deals with that one, Andy?
Andy Scott: Yes. Thank you very much, John. The next question is from David [indiscernible].
Unidentified Analyst: Two questions from me. First, John, just on the Dussafu permit. I mean, if I look at the numbers quarter-on-quarter, you seem to have peaked production in Q1. There seems to be somewhat of a 5% decline or thereabouts in Q2. Is that operational? Or is that reservoir based? Do you expect that to continue until you drill the new wells in early 2026? And just secondly, on Equatorial Guinea and the license there. Obviously, the obvious outlet for any discovery would be the [ Island ] LNG facility. But there's a number of other explorers looking for new gas resources in and around that area. How competitive do you feel that any new discovery that you made would place you above those other companies and any discoveries they would make?
John Andrew Hamilton: Thanks, David. Yes. Dussafu, yes, it's -- as we all know, wells decline. The decline you note is just natural decline. BW Energy is the operator. That profile is more or less as guided by BW to the market and therefore, by us as well. So I think that you'll continue to kind of see a natural decline there in Dussafu until such time as we come with the new campaign, which will be about a year from now, let's call it, where 4 new wells will come on. So I think the bigger picture for me, the way I like to look at it with Dussafu is I think Dussafu is a 30,000 or 40,000 barrel a day production asset for the next as many years you can really count on looking at E&P, let's call, in the next 5 years or so with the ability to manage that decline by introducing new wells. And every time we put one of these new wells in, they're very, very cheap. I mean they are less than $10 a barrel to bring on and extremely good operating cost in those areas. So it's really a matter of continuing to replace that natural reservoir decline by adding the new wells to it. But I think what you'll see there is that natural decline. I think that's -- as I think we've said in BW, it's in line with expectation and guidance on that one. On Bioko Island, the issue there, for those of you who don't know, there's an LNG plant there, which is managed by ConocoPhillips. It's owned by Chevron as well as well as the government of Equatorial Guinea. And that has been a very, very profitable LNG plant for ConocoPhillips and Chevron over the years. Chevron has some gas fields, oil fields to the Southeast with ConocoPhillips just directly to the north and the Alba field. But both of those assets are in -- they've been producing for a long time and are in decline. There is some infill drilling on the Chevron side of things. There are currently 2 other E&P companies, so Meren Energy, the old Africa Oil, and another small private company that have assets in the area that are also looking for things that might be able to go into that LNG plant. But the LNG plant has lots and lots of haulage on it. It can handle lots more gas. It's producing at way below its capacity. So I would say that there's room for everybody. I would say that we might have a slight advantage in the sense that our field on commercialization of any discovery drilling there can just tie straight into the Alba system and come straight onshore. Other blocks may not quite have that same advantage. There have to be some infrastructure considerations there that might be slightly more complicated. But I think all of those companies are chasing very interesting blocks. I'm not going to say anything bad about those. I think that -- we think we've got the best one though. And again, we can cooperate with ConocoPhillips, who is just to the south of us with their Alba infrastructure there. So I don't personally see at this point that competition is a bad thing in terms of that gas.
Unidentified Analyst: Yes. And just one last question for me, John. You've obviously improved your capital structure dramatically over the last 12 months, certainly.
John Andrew Hamilton: Sorry, can you say that again?
Unidentified Analyst: Sorry -- yes, pardon me. You've been able to improve your capital structure at Panoro quite significantly following higher production levels, being able to improve your cash flow, issue a bond, start paying out a regular dividend and do the share buyback. If we're looking for the next stage of growth -- as you say, larger companies tend to get a smaller discount or smaller discount rate than smaller companies. What would be the next stage in your capital structure evolution? Do you think that, for example, if you're able to double your production, new avenues of debt would be made available to you? Or what's the real pickup from getting larger in terms of capital structure?
John Andrew Hamilton: Well, I think the first part of it is getting back to that original question that came in online around the discount to NAV. I think just being bigger, having more assets, that diversification of assets, we've really kind of benefited from that. And sometimes in the oil and gas business, there can often be issues associated with one asset or another and having that diversification matters. So I think us adding additional assets to the portfolio, I think, is a way of addressing some of that discount to NAV. The size being bigger attracts more funds. And in terms of the ability to tap the debt markets, yes, I think the bigger you get, the more competitive those rates are and the better avenues that you can find into the fixed income market. We had a very successful, we believe, a bond issue was well received. It's trading well. I think the credit in the market is strong. But we think that we now have that platform through that bond issue, as you say, through our capital structure, through the diversification we have to continue to grow the company. Both inorganically, if we can find something that makes sense for shareholders, we'll do it. And we think we've got the platform to do that. And obviously, to the extent we can't find the right deals and those are not attractive from a capital allocation perspective, we'll continue to grow our organic portfolio. But certainly, I'd agree with you that being bigger is going to help us close that discount to NAV.
Andy Scott: The next question is from Christoffer Bachke. Okay. We can come back to that one. And if -- Christopher, let us know if you're about. Otherwise, John, final question to wrap up today comes in online. Obviously, it doesn't feature prominently in our materials, but could you please elaborate a little bit on activity at the helium play exploration rights onshore South Africa?
John Andrew Hamilton: Yes. And apologies for not putting it in our report. It is a very, very interesting project for those of you who followed our entry into the helium and methane gas play in South Africa. South Africa is a country that is very reliant on coal for its electricity generation. And in our commitment towards transition, we've always been looking for ways that we can use our subsurface skills to try to show that commitment to the transition. It's never meant to be a big capital outlay for us, but more to demonstrate that we're doing things in Africa to assist with the transition. The project is a very interesting one. It sits in the sweet spot of this basin, which has got proven helium and very shallow methane gas. So there is one project there, which is up and running, which basically produces gas. They strip out the helium, which sells for a crazy rates of $1,000 an Mcf, that kind of thing. And then the gas is then used either for local CNG or small-scale LNG going into the transportation sector, again, displacing fuel, displacing eventually coal into the power sector. The process in South Africa is long, the sort of environmental approvals. So we're in the middle of the environmental approvals for that. So we've submitted everything to do with that, and we're basically waiting on what is a little bit of a lengthy process in South Africa. It's a very competent process, but it's a lengthy process in South Africa to get the full environmental approvals for the next stage of the project. The next stage of the project will involve probably getting some gravity data over the area. So that's FTG. It doesn't cost much money, but it would give you a really good indication of the underlying subsurface and where best to focus any initial exploratory drilling. I think it's a project that we feel strategically, probably could form part of another company, maybe we can create a separate business around it. It's not going to be something that chews up a lot of capital in Panoro, but it's something we feel very strongly about. And so we'll continue to try and nurture it along and incubate it and hopefully, put it in a good place in due course that the project really can flourish and Panoro and its shareholders can benefit directly or indirectly from that.
Andy Scott: Thank you very much, John. And there's a further question from Stephane Foucaud.
Stephane Guy Patrick Foucaud: I'm back on Gabon. And in light of what you said, John, about bolt-on, the potential explorations upside around it. I was wondering how current is this 25 million barrel overall prospective resources net to Panoro or in Dussafu?
John Andrew Hamilton: Sorry, how current did you say?
Stephane Guy Patrick Foucaud: I mean, yes, by this, I mean -- so I think the 25 million prospective resources was, I think, some time ago. Then of course, we had the bolt-on discovery, but you were talking about further upside around the bolt-on discovery. And I was wondering whether it was in the 25 million barrel prospective resources or whether that number could now have become larger since it was first estimated.
John Andrew Hamilton: I see. No, I think for the moment, we're sticking together with BW around that range. We talked about in the Dussafu slide, the 4-well development drilling campaign in Hibiscus/Hibiscus South field. What's going to happen most likely -- again, it needs to be agreed between the joint venture. But what will happen most likely is we will come and drill those 4 development wells, which will increase production again. And when the rig is there, we may do some more exploratory drilling in that Bourdon area. We -- having drilled the well on a couple of sidetracks, we now have 3 now different bits of well control there. That's given the geoscientists the chance to kind of remap that whole area. It was different than expected, but we found a lot of oil. And what we're seeing there is there are 2 or 3 other areas, satellites, if I can call them that, to this Bourdon discovery we've made that look very interesting. We believe 25 million barrels is commercial itself and justifies a small platform development there tied back into the pipeline. However, it's always nice to find more. And I think the debate in the joint venture will be what do we do when the rig comes back? Should we look around a little bit more and just see whether some of those satellites might hold additional oil. Some of them are smaller, some of them are quite big. So it's a little early. I think we kind of stick with the number we've got at the moment though.
Stephane Guy Patrick Foucaud: I was not so much talking about what has been discovered at Bourdon, but the remaining prospectivity on the license, which I think you're carrying currently. It's the same figure as Bourdon, 22 million barrel prospective resources outside of what has been discovered. And I was wondering whether that has grown following, particularly the discovery of Bourdon and finding a new play, remapping and so forth?
John Andrew Hamilton: No. I think it's too early to say that, Stephane. I think the -- that prospect inventory is -- needs to be entirely refreshed following the Bourdon discovery. So we've been really focusing on the Bourdon area. But with the new seismic coming in on the new blocks, we're going to also have a quick look at what that seismic tells us about Dussafu. So still to come. Those numbers are still valid and have not been updated as yet. But we do have -- what is it, something like 88% drilling success in this area, that post-salt -- sort of the pre-salt Gamba prospects we see, we kind of can now, not with 100% certainty, but with a high degree of certainty, really identifying where the traps are here. So we've got a good track record there of finding more oil. There's going to be a lot more oil to be found here. Just -- we don't have a new number for you other than the historical one that's there.
Andy Scott: Thank you, John. And that will conclude today's Q&A. Thank you.
John Andrew Hamilton: Thanks, everybody, and I look forward to keeping you updated. Thank you.